Operator: Good morning and thank you for holding. Welcome to the Aon Plc Fourth Quarter and Full Year 2015 Earnings Conference Call. At this time, all parties will be in a listen-only mode until the question-and-answer portion of today's call. If anyone has an objection, you may disconnect your line at this time. I would also like to remind all parties that this call is being recorded and that is important to note that some of the comments in today's call may constitute certain statements that are forward-looking in nature as defined by the Private Securities Reform Act of 1995. Such statements are subject to certain risks and uncertainties that could cause actual results to differ materially from historical results or those anticipated. Information concerning risk factors that could cause such differences are described in the press release covering our fourth quarter and full year 2015 results as well as having been posted on our website. Now, it is my pleasure to turn the call over to Greg Case, President and CEO of Aon Plc.
Gregory C. Case - President and Chief Executive Officer: Thank you and good morning everyone. Welcome to our fourth quarter and full year 2015 conference call. Joining me today is our CFO, Christa Davies. I would note that there are slides available on our website for you to follow along with our commentary today and consistent with previous quarters, I'd like to cover two areas before turning the call over to Christa for further financial review. First is our performance against key metrics we communicate to shareholders. Second is the overall organic growth performance including continued areas of strategic investment across Aon. On the first topic, our performance versus key metrics. Each quarter, we measure our performance against the key metrics we focus on achieving over the course of the year: grow organically, expand margins, increase earnings per share and deliver free cash flow growth. Turning to slide 3. In the fourth quarter, organic revenue growth was 5% with solid growth across all major businesses, highlighted by 6% growth in each of our retail brokerage businesses. Operating margin increased 110 basis points, reflecting strong operating performance in both segments. And EPS increased 20% to $2.27, reflecting strong operating performance and effective capital management. If we turn to the full year, organic revenue growth was 3% overall, reflecting solid growth across both Risk and HR Solutions despite pricing pressure and overall economic uncertainty. Operating margin increased 50 basis points, reflecting strong operating performance and record margin results in those segments. EPS increased 8% to $6.18, overcoming substantial foreign currency headwinds. And finally, free cash flow increased 10% to a record $1.7 billion. Overall, our results reflect both the strong performance in the quarter and for the full year. In the year of substantial volatility driven by macroeconomic factors and industry headwinds, we continue to invest heavily in client-serving capabilities across our industry-leading platform. These investments, combined with the leadership of our colleagues around the globe, contribute to strong organic growth in both segments to close the year, record operating margin in both segments, record free cash flow, and a return of $1.9 billion of capital to shareholders. Turning to slide 4 on the second topic of growth and investment. I want to spend the next few minutes discussing the quarter for both of our segments. In Risk Solutions, organic revenue growth was 5% compared to 3% in the prior year quarter, driven by growth across all businesses and reflecting a level of quarterly organic growth not seen since the second quarter of 2007. As we discussed previously, we're driving a set of initiatives and making strategic investments that are strengthening underlying performance and position our Risk Solutions segment for long-term growth and improved operating leverage, with the management of our renewal book, through right-on-time promise and retention rates of more than 90% on average across retail brokerage. New business generation of more than $330 million across our retail business, with record new business in U.S. Retail. In 19 consecutive quarters of positive net new business in core treaty reinsurance. Increased operating leverage from our investments in innovation technology and data and analytics, including from the Global Risk Insight Platform, which now captures over 3 million trades and $160 billion of bound premium, with approximately 40 carriers utilizing the platform today. ReView, a reinsurer dashboard, combined with strategic consulting, help reinsurers be more effective markets for ceding company clients. And our Aon Broking initiative to better match client need with insurer appetite for risk and to identify structured portfolio solutions. A great example of our innovation in data and analytics recently was the launch of Aon Client Treaty, the largest ever underwritten portfolio of risk in the history of Lloyd's. An undertaking of data and analytics looking at 64,000 policy transactions, 120 different classes of business, and over 157 countries and territories. We've received terrific feedback from clients, bound coverage in every major geography and have generated incremental new business since the launch on January 1. And, finally, we're expanding our content and global footprint through tuck-in acquisitions that increase scale in emerging markets or expand capability. Reflecting on the individual businesses within Risk Solutions. In the Americas, organic revenue growth was 6% against the strong comparable in the prior year quarter, driven by a diversified portfolio reflecting industry expertise, product and service capability. The exposures continue to be positive across the region, while the impact from pricing was modestly negative, resulting in stable market impact overall. We saw growth across all regions; U.S. Retail, Canada, and Latin America, including growth across all businesses, property/casualty, health and benefits, and in Affinity, where 16 of 18 underlying product lines were delivering growth. In U.S. Retail, growth was driven by solid retention rates and record new business generation on areas such as P&C, D&O and cyber, while strong management of the renewal book portfolio drove growth in Latin America. In International, organic revenue growth was 6% compared to flat in the prior year quarter. Exposures continue to be stable and the impact from pricing was modestly negative on average, driven by fragile market conditions in many countries across Europe and a continued pressure in the Pacific region. In Continental Europe, we saw solid growth driven by management of the renewal book portfolio, reflecting strong leadership across the region. This positions us well to benefit from potential improvements in a macroeconomic environment. We saw continued strength in New Zealand while Australia showed modest growth. Results also reflect solid growth across Asia where many markets grew double digits including Taiwan, Thailand and Singapore. In Reinsurance, organic revenue growth was 2%, a strong performance against the tough comparison in the prior year quarter. Results in the quarter primarily reflect positive growth in treaty globally driven by an increase in (07:08) demand, as well as growth in new products such as U.S. Mortgage and ReView. Across our portfolio, we saw a record level of new business generation in the quarter. While excess capital continues to place pressure in the market, the rate of price decline continues to moderate. Against that price measure, clients are buying more and capital is being deployed to new markets. New opportunities for growth combined with industry-leading data and analytics has positioned our Reinsurance business for return to modest growth in 2016. Overall, across Risk Solutions, we delivered our strongest quarterly rate of organic growth for the year, driven by record new business generation, strong retention rates, and returns on our investments in industry leading data and analytics. Despite fragile macroeconomic conditions and soft pricing in certain areas, we fully anticipate a continuation of low to mid-single digit organic growth in 2016. Turning to HR Solutions, organic revenue growth was 4% with solid growth across both major businesses and in high demand areas where we've invested in innovative solutions and client serving capability. These investments reflect Aon Hewitt's client leadership and in-depth understanding and influence of market trends. Including, as clients manage risks against pension schemes that are frozen, largely underfunded and facing regulatory changes, solutions to de-risk pension plans and support for delegated investment solutions. A strong area of growth where assets under management have grown from $10 billion to roughly $75 billion in five years. Continued investment to strengthen our industry-leading portfolio of health solutions covering the full range of benefit strategies, client size and funding choices. Across Aon suite of private health exchanges, we enrolled roughly 1.4 million lives across 150 clients in 2015, compared to roughly 1.2 million enrolled lives across 100 clients in 2014, reflecting solid double-digit growth. Participant satisfaction was strong, as 92% of individuals on the Retiree Exchange were satisfied with their advisor, while 88% on the Active Exchange liked being able to choose from multiple carriers. Our solutions for clients continue to bend the cost curve by 150 basis points to 200 basis points on average over a multi-year period, but more than a quarter of returning clients seen a year-over-year decrease. We feel good about the pipeline and our ability to drive greater scale in growth in 2016. We're also investing in Software-as-a-Service model in our HR BPO business, where growth in new clients and conversation with existing clients is driving strong demand, as well as the expansion of our capabilities to include financial implementations. And finally, we're investing in our talent and rewards business, as we are seeing strong demand for data and analytics to support increasing organizational change. Turning to the individual businesses within HR Solutions. In Consulting services, organic revenue growth was 4%, overcoming a tough comparable in the prior year that included project work relating to the HAFTA bill. Results in the quarter reflect continued growth in retirement consulting, primarily driven by demand for delegated investment consulting solutions. We also saw continued growth in consultation consulting, driven by record growth in participation for survey work as companies require benchmarking and assistance with planned designs to address retention and ways to compete more effectively with a set of strategies. In Outsourcing, organic revenue growth was 4% as well, driven by growth across all major businesses. We saw growth in benefits administration, driven primarily by an increase in project-related work. Results reflect growth in HR BPO, driven by new client wins in cloud-based solutions. We saw solid growth in healthcare exchanges driven by an increase in the number of enrollments across the platform. Overall, across HR Solutions, client needs are growing in both size and complexity across retirement and health. Our results reflect the solid finish to the year with growth across all major businesses, including strong growth in areas we've been investing to continue delivering sustainable long-term growth. In summary, despite short-term headwinds from both macroeconomic and industry pricing standpoint, our results for both the quarter and the year finished on a high note. We delivered solid organic growth across both segments and strengthened our operational performance driven by our industry-leading platform of client-serving capabilities and investments in data and analytics. With that said, I'm now pleased to turn the call over to Christa for further financial review. Christa?
Christa Davies - Chief Financial Officer & Executive Vice President: Thanks so much, Greg, and good morning, everyone. As Greg noted, our industry-leading franchise closed the year with a strong performance despite both macroeconomic and industry-specific headwinds. Our results in the quarter reflect solid organic growth and record operating margin performance in Risk and HR Solutions. Record free cash flow generation and effective capital management highlighted by the repurchase of approximately $400 million of ordinary shares in the quarter. We returned roughly $1.9 billion of capital to shareholders in 2015. Now, let me turn to the financial results for the quarter on page 6 of the presentation. Our core EPS performance excluding certain items increased 20% to $2.27 per share for the fourth quarter compared to $1.89 in the prior year quarter. Certain items that were adjusted for in core EPS performance and highlighted in the schedule from page 12 of the press release include non-cash intangible asset amortization. Further, included in the results was a $0.10 per share unfavorable impact related to foreign currency translation due to the U.S. dollar strengthening against most major currencies. Excluding the impact of foreign currency, EPS grew 25% for the fourth quarter and 15% for the full year, in line with our compounded annual growth rate of 15% for the last 10 years. Another year of outstanding performance reflecting the strength of our industry-leading franchise and focus on shareholder value creation. Going forward, if currency were to remain stable at today's rates, we would expect substantially less of a headwind with an estimated unfavorable impact of roughly $0.10 for 2016 compared to $0.41 of impact for 2015. We would expect the majority of this impact to be weighted towards the first half of 2016 more so in the first quarter. Now, let me talk about each of the segments on the next slide. In our Risk Solutions segment, organic revenue growth was 5%. Operating margin increased 100 basis points to 25.7%, and operating income increased 2% compared to the prior year quarter. Operating income included a $27 million unfavorable impact from foreign currency translation. Excluding this impact, underlying operating income increased 7% versus the prior year quarter. Operating margin improvement of 100 basis points includes a 30 basis points favorable impact from foreign currency translation. Excluding the impact from foreign currency, underlying operating margin improved 70 basis points in the quarter. Our fourth quarter performance reflects solid organic growth performance and improved returns on our investments in data and analytics across our portfolio. For 2015, Risk Solutions operating income decreased 2%, which includes a $128 million unfavorable impact from foreign currency translation. Excluding this impact, underlying operating income increased 5% versus the prior year. Operating margin increased 70 basis points to 23.6%, including a 20 basis points favorable impact from foreign currency translation. Excluding the impact from foreign currency, underlying operating margin increased 50 basis points in the year. We delivered strong operational improvement in 2015, with record operating margins despite significant headwinds from an unfavorable market impact in reinsurance and fragile macroeconomic conditions. This level of performance reflects strong new business generation and increased operating leverage in the business, as well as expense discipline as we optimize our global cost structure. We expect continued improvement in 2016 and are firmly on track with our long-term target of 26%. In addition, if short-term interest rates continue to rise, we believe we have significant leverage to improving interest rate environment as every 100 basis point rise in global interest rates should result in approximately $45 million of investment income. Turning to the HR Solutions segment, organic revenue growth was 4%, operating margin increased 270 basis points to 26.2% and operating income increased 14% compared to the prior year quarter. Operating income included a $6 million unfavorable impact from foreign currency translation. In addition, there are approximately $12 million or minus 90 basis points of transaction-related and portfolio-repositioning costs incurred in the quarter as we continue to drive improved return on capital. The gain related to the sale of our Absence Management business was reported in other income. Results were driven by organic growth, expense discipline and improved returns on investment, including healthcare exchanges, which delivered modest profitability in 2015. For the full year, operating income increased 7%, including a $20 million unfavorable impact from foreign currency translation. Excluding this impact, underlying operating income increased 10% compared to the prior year, and operating margins increased 100 basis points to a record 18.1%. This level of performance demonstrates strong improvement over the prior year, reflecting solid financial results in our core business, as well as improved profitability in the areas we've been investing for long-term growth, including delegated investment consulting, cloud-based solutions in HR BPO, and healthcare exchanges. Looking forward, we expect continued operational improvement in 2016 towards our long-term target of 22%, with quarterly patterning of operating income results in HR Solutions similar to 2015. More specifically, down in the first half more so in Q1, and up in the second half most notably Q4. Now, let me discuss a few of the line items outside of the operating segments on slide 9. Unallocated expenses increased $17 million to $61 million due to the timing of certain employee incentive and employee benefit-related expenses, as well as certain investments in shared services. Interest income was $4 million compared to $3 million from the prior-year quarter. Interest expense was $68 million, in line with quarterly guidance. Other income of $49 million primarily includes the gain on the sale of our Absence Management business in Outsourcing and HR Solutions. The sale continues to reflect our effort to drive improved return on capital. Going forward, we expect a run rate of approximately $45 million per quarter of unallocated expense, $3 million per quarter of interest income and $68 million of interest expense. Turning to taxes. The adjusted effects of tax rate on net income from continuing operations, excluding the applicable tax impact associated with expenses related to legacy litigation in Q2, decreased to 17.9% compared to the prior-year quarter at 19.6% due to the favorable impact of certain discrete tax adjustments. Our estimate of the underlying operating tax rate remains at 19%. Lastly, average diluted shares outstanding decreased 5% to $279.3 million in the fourth quarter compared to $293.4 million in the prior-year quarter as we effectively allocate capital and manage dilution. The company repurchased 4.3 million Class A ordinary shares for approximately $400 million in the fourth quarter. The company has $4.1 billion of remaining authorization under its share repurchase program. Actual shares outstanding on December 31 were 269.8 million and there are approximately 6 million additional dilutive equivalents. Estimated Q1 2016 beginning dilutive share count is approximately 276 million, subject to share price movement, share issuance and share repurchase. Now let me turn to the next slide to highlight our solid balance sheet and strong cash flow growth on slide 10. At December 31, 2015, cash and short-term investments were $740 million. Total debt outstanding was approximately $5.7 billion and total debt-to-EBITDA on a GAAP basis was 2.3 times. Cash flow from operations for the year increased 11% or $197 million to a record $2 billion, driven by a decline in pension contributions, restructuring-related payments, cash paid for taxes, and working capital improvements, partially offset by $137 million in cash paid to settle legacy litigation and strong organic growth performance in the fourth quarter. Free cash flow is defined by cash flow from operations less CapEx increased 10% or $163 million to a record $1.7 billion, reflecting strong growth in cash flow from operations, partially offset by a $34 million increase in CapEx. The increase in CapEx in 2015 was primarily related to completed investments in certain projects to optimize our global real estate portfolio. As we noted in our press release and related presentations today, during the quarter for the years ended December 31, 2015 and 2014, we reclassified certain cash flows related to shares withheld for taxes from cash flow from operations to cash flow from financing. Shares withheld for taxes reflects the choice of colleagues upon vesting to choose gross or net shares to satisfy their withholding requirements. As nearly all colleagues choose to receive net shares, the company then withholds an applicable amount of shares to cover withholding amounts, in effect, creating a share repurchase-like transaction. We believe the reclassification of shares withheld for taxes to cash from financing activities provides greater transparency to the cash flow production from operating results underlines more closely with the accounting treatment of comparable peers. While the reclassification has no actual cash impact on the cash flow statement, as a result of a reclassification, we are increasing our near-term free cash flow goal from $2.3 billion to $2.4 billion for the full year 2017. Turning to the next slide to discuss our significantly increasing free cash flow generation. We value the firm based on free cash flow and allocate capital to maximize free cash flow returns. Free cash flow of $2.4 billion is not our end goal, as further long-term sustainable free cash flow will be driven by continued operating income growth and additional working capital initiatives beyond 2017. There are four primary areas that are expected to contribute to our goal of delivering $2.4 billion or more for the full year 2017. The first is continued operational performance, driven by organic revenue growth and margin expansion. The second is working capital improvements as we focus on closing the gap between receivables and payables. The third is declining uses of cash for pension contributions CapEx from restructuring, which will free up more than $90 million of annual free cash flow between the end of 2015 and 2017. And fourth, lower cash tax payments reflecting a lower effective tax rate. Lastly, I would note that during 2015, we paid $137 million of cash to settle a legacy litigation, which we would expect to provide a tailwind free cash flow growth in 2016. Turning to our pension plans. We have taken significant steps to reduce volatility and liability as we've closed plans to new entrants, frozen plans from accruing additional benefits and continue to de-risk certain plan assets. Based on December 31, 2015 actuarial assumptions, reported liabilities on a GAAP basis decreased to $1.8 billion at year-end 2015, reflecting a 94% funded status, compared to $2.1 billion at year-end 2014, reflecting a 90% funded status. Not reflected in those amounts, however, are $1 billion of overfunded pension plans that are included in non-current assets in the balance sheet? Considered together, our net unfunded obligations are approximately $800 million. Overall, we expect contributions to decline by approximately $44 million in 2016 and would expect non-cash pension income to be a modest benefit in 2016 versus 2015. Regarding our restructuring program, cash payments declined by $54 million to $28 million in 2015. As old charges related to restructuring program have been incurred, we would expect cash payments to decline by $9 million or approximately $19 million in 2016, and continue to decline thereafter to an immaterial amount. In summary, our results for both the quarter and the full year reflects solid organic growth, record operating margin performance across both Risk and HR Solutions, strong EPS growth, record free cash flow of $1.7 billion and a return of roughly $1.9 billion in capital to shareholders. Despite challenging macroeconomic and industry-specific headwinds, our industry-leading franchise is strongly positioned to help clients manage through increasing complexity, magnitude and volatility across the areas of risk, retirement and health. With that, I would like to turn the call back over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. At this time, we don't have any questions on queue.
Gregory C. Case - President and Chief Executive Officer: Sorry. Apparently, we're having some difficulty on the queues – on the questions. We've got a number in queue. I can assure you we'll take all the time we need today to answer any and all the questions we've got, so be comfortable with that. We'll work out this logistical glitch a bit. And they're coming up in a bit, so just a little patience and we're going to get this moving as soon as we can. So apologies for that. Redial back in, and I think you'll get to the front of the queue.
Operator: Our first question comes from the line of Ryan Tunis of Credit Suisse. Your line is open.
Gregory C. Case - President and Chief Executive Officer: Ryan, are you with us?
Christa Davies - Chief Financial Officer & Executive Vice President: Dave, I think you might be up.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Hey, Greg.
Gregory C. Case - President and Chief Executive Officer: Yes, please.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Hey. Sorry about that. My first question is for Christa, and it's just – I think she said that non-cash pension income will be a benefit this year versus 2015. Just wondering if you could quantify that, what the benefit is?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. It's small, Ryan, but it is going to be up slightly year-over-year.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just on the reclassification, I guess just trying to understand what's going on here. I think last year you guys still had something like $300 million-plus of share-based compensation that was helping free cash flow, but now it sounds like you're moving something to financing activities. I'm just trying to understand why it sounds like there might be some share-based compensation that's still helping free cash flow and some that might have been moved to financing activities.
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. So I think the first thing to say, Ryan, is this has – this reclassification has no cash impact on total cash generated or cash paid in previous or future periods. I think the issue you're referring to is actually quite a different issue. The reason we did this was really as a preferable classification and it's consistent with peers. And we feel like it's a much cleaner way to explain our overall cash flow and cash flow growth. The stock compensation expense is stable and has not changed.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Okay. And then Just one last one, I know the guide to the tax rate is at about 19%, but over the past couple of years, it's coming a little bit below that. I just wanted to make sure the $2.4 billion 2017 free cash flow target, that we can assume that that's – that's assuming a 19% tax rate.
Christa Davies - Chief Financial Officer & Executive Vice President: Ryan, we expect 19% to be our underlying operational rate going forward. I think what shows up in any one year is impacted by discrete tax adjustments. They can be positive or negative, and we actually can't forecast them. And the reason our full-year tax rate for 2015 on an adjusted basis was 17.9% was because we had positive discrete tax adjustments. So what we would say is the right underlying rate to model for the company and we use ourselves is 19%, but then discrete tax adjustments can come in positive or negative.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Okay. But – so the 2.4%, though, is absent, though, the discrete tax adjustments, just over the past couple of years, I think, have been positive, correct?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. I mean, it is impossible by nature of those adjustments to predict them because they happened at the time.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC (Broker): Okay. I'll stop there. Thanks so much, guys.
Gregory C. Case - President and Chief Executive Officer: Sure.
Christa Davies - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Your next question comes from Dan Farrell of Piper Jaffray. Sir, your line is open.
Daniel D. Farrell - Piper Jaffray & Co (Broker): To your cash flow growth targets, even if we take into account the pension decreases and some of the change, there's some healthy growth there. I'm wondering if you could comment on ReView on the underlying macro trends that you think you might need for that? If we look at the last couple of years, certainly you would probably have more headwinds than we would've thought we're going to have. And do you think you need any of that to reverse – or with the current headwinds that we're seeing, do you think that that cash flow is still achievable? Thank you.
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. I think it's a great question, Dan, because we have had some significant headwinds in the last couple of years, most notably FX, which had a $140 million impact on operating income in calendar year 2015. We would say that we do not need changes in the macro environment to achieve our $2.4 billion in free cash flow in 2017. If you think about the $1.7 billion of free cash flow we delivered in 2015, you can add back the $137 million of cash we spent on litigation in 2015, and then you can add about $100 million of improvement in free cash flow from decreased uses of cash between now and 2017. So you're already up to $2 billion of free cash flow, and then you really need an incremental $400 million from revenue growth and margin expansion and improved working capital. And so we really believe that we have exceptionally strong free cash flow over the coming years and exceptionally strong free cash flow per share as we expect declining share counts between now and 2017, too.
Daniel D. Farrell - Piper Jaffray & Co (Broker): Okay. Thank you very much.
Operator: Thank you. The next question that we do have comes from the line of Sarah DeWitt of JPMC. Your line is open.
Sarah E. DeWitt - JPMorgan Securities LLC: Hi, good morning, and congrats on a good quarter. First on the brokerage organic growth, the 5%, this is the best result you've had in years. Could you just talk about what changed versus the third quarter?
Gregory C. Case - President and Chief Executive Officer: Yeah, Sarah. First, step back, reflect – if you think about brokerage overall, it's consistent with what we're trying to achieve over the course of the year, being able to grow in virtually every environment, and we've been able to do that. And in the fourth quarter, what you're seeing is just at continuation. So for us, it's really nothing new but a continuation of the yield on a lot of the investments we're making in the business and the progress we're making across the business overall. And listen, we saw the new business characteristics in U.S. Retail, for example. These are records – record-on-record, in fact, in terms of sort of what's happened over the course of the last year. So, for us, this is just a continuation in terms of sort of where we are. Across the business, we really like our position now, the way we finish in 2015 and our position in 2016 and the trajectory going into 2016 overall. So for us, what you would read into this is this is just another quarter kind of on a proof point of our underlying capability, and expect continued growth at the same levels going forward and the ability, frankly, to deal with any headwinds that are out there as we've been able to do and move the business forward.
Sarah E. DeWitt - JPMorgan Securities LLC: Okay, great. And then on consulting, the organic growth is usually seasonally highest in the fourth quarter because of private health exchanges. Why wasn't that the case this year? And could you just give us your latest thoughts on what you view is the opportunity for private health exchanges, especially since there has been some press that larger players are a bit slower to adopt and Cadillac tax might be pushed out?
Gregory C. Case - President and Chief Executive Officer: Well first, take a step back over all HR Solutions. Again, we love where we finished on the risk side. We really like where we finished on HR Solutions. And this is a business over the course of the year that produced 10% operating income growth, grew at 4%. We made substantial – and by the way, also achieved record margins. We made substantial investment scenarios like retirement and delegated it across the board, and in our Health Solutions. And again, we look at Health Solutions across the board, really every category in terms of the ability to help clients with this very important challenge they've got around the health side. And we think we've got one of the strongest capabilities here whether it's H&B, whether it's global benefits across the board, and on the exchanges. Retiree, active, employee, self, all across the board. And what we would say, if you think about sort of quarter-over-quarter, first, we would agree the adoption on the health active side across the board, especially the larger end, hasn't been as fast as expected. By the way, especially given some of the results we've seen with existing clients because it's been a bit exceptional. Reduced volatility for them, price reductions year-over-year. 25%, in fact, had price reductions over the last year. So we're very, very positive in terms of the overall impact. The pipeline looks very, very strong. And again, even in the exchange business as it exists, we had double-digit growth and it's profitable. So for us, we love this solution on behalf of clients, but as part of our broader health solution. I would reflect, by the way, in the fourth quarter last year, we had the single largest implementation on the retiree side, sort of in the history of the world and maybe will forever be in the history of the world. And that actually influenced results a bit, too. But we really like the business overall tremendously, and we're really feeling good about our position in HR Solutions.
Sarah E. DeWitt - JPMorgan Securities LLC: Okay, great. Thank you.
Operator: Thank you. The next question that we do have comes from the line of Quentin McMillan. Your line is open – from KBW.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Hi, guys. Thanks very much. Can I ask a question on seasonality, a two-part question? One on just the reinsurance brokerage organic bounce-back this quarter after a couple of quarters of negative growth. So it's nice to see some positive trend there. But the last time that you shared a positive number was in 4Q 2014. It may just be coincidence that that happened year-over-year, but can you talk about sort of how you account for revenue recognition in the reinsurance brokerage and if there's anything to read into that, and then possibly what that could mean for next year or for 4Q 2016? And then on the HR Solutions side, your profitability in the fourth quarter basically doubles from the rest of the quarter. So can you just help us to also understand why there's so much more profitability in 4Q other than just the healthcare exchanges, and if there's anything else that we can kind of look at that? Thanks so much.
Christa Davies - Chief Financial Officer & Executive Vice President: So let me do sort of just technically how we account for reinsurance because I think that's one of your questions. So we account for revenue and reinsurance over the course of a 12-month period of time. And so therefore, what you're seeing in Q4 is revenue that was placed over the last 12 months. And that's really for our treaty business I'm talking about, which is about 80% to 85% of our total revenue. So 12-month revenue recognition. So what you're seeing in our Q4 results is the last four quarters of revenue. And so it's sort of a lagging indicator because you're getting price over that last 12 months showing up in our current year's results. The facultative and capital markets, they are recognized in the quarter, so that's sort of 15% to 20% of our revenue.
Gregory C. Case - President and Chief Executive Officer: And so if you step back on the reinsurance side, basically, in terms of where we finish and thinking about going into 2016. Again, this is consistent with the theme across the company. We feel very good about how we finish the year and what it sets to save for in 2016. Obviously, again, looking at in terms of the overall year, we're not happy with the level of growth and reinsurance of negative 1% for the year. But we've said already, we expect reinsurance to return a positive organic growth in 2016. And for us – especially for our reinsurance business maybe more than any other. It's a great example of a business right now as business results don't really reflect the underlying capability and opportunity we see, which is exceptional. I mean, think about it, we're the largest adviser in the world in this area and really, number one in treaty, number one in fact, number one on the alternative capital side, capital markets. 20% of the global book is linked to U.S. property cat and that's wholly commission based. Those rates have come down 15% to 25% over the last 24 months and that's been reflected. Probably those are starting to flatten out a bit; the decrease is not as great. But against that, it's really been the team's ability to continue to win 19 consecutive quarters of wins on treaty reinsurance, which had been exceptional, and really, the ability to create net new demand. And this is really in areas like mortgage overall and what we've done in ReView. So they've been able to offset these headwinds, which are diminishing, those businesses that they've offset whether they're going to continue to grow. And the opportunity going into 2016, we feel very good. And we'd say, by the way, just technically, the 2% in this quarter is on top of a 5% in the Q4 2014, so it was kind of on top of a very strong comparable. So, we feel good about the position, and we love this business. We're very excited about it. So maybe we go back to Christa on the HR Solutions side on sort of the seasonality overall.
Christa Davies - Chief Financial Officer & Executive Vice President: Sure. So what I would describe, Quentin, is we have an HR business which is very seasonally orientated towards the second half of the year, and in particular towards Q4. As we think about the patenting for HR Solutions in 2016, it will look very similar to 2015 where from an operating income point of view, we are down in the first half, particularly in Q1. We're up in the second half, particularly in Q4. As you think about the overall HR Solutions business, we really have a very significant bias towards Q4 with annual enrollment in our benefits administration business primarily occurring in Q4, and healthcare exchanges primarily occurring in Q4 where you have expenses showing up in Q1, Q2, Q3, and Q4 and revenue really coming through in Q4. And so that's why we're primarily a Q4-orientated business in terms of revenue and therefore operating income.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: That's perfect. Thanks so much guys. And if I can sneak one more in, just in terms of the leverage that you guys have. The debt to EBITDA came down from 2.6 to 2.3 in the quarter. And I think you'd previously indicated that you were sort of comfortable with that 2.6 level, and a willingness and an indication that you wanted to – you could use shares in the – I'm sorry, use debt in the future to repurchase shares. Is that still sort of the lineup to where your – what you think for 2016 and going forward? And what level do you feel comfortable at?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. It's a great question, Quentin. So what we would say is strong free cash flow generation, and therefore EBITDA growth allows us to continue to increase leverage in line with the 2 to 2.5 times leverage ratio. So we do see the opportunity for incremental leverage, given the strong free cash flow and EBITDA growth of the company.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Great. Thanks very much, guys.
Operator: Thank you. The next question that we do have comes from the line of Adam Klauber of William Blair. Your line is open.
Adam Klauber - William Blair & Co. LLC: Thanks. Good morning, everyone. The sale of the Absence Management company, just a couple of points around that. Was that business higher or lower margin than your overall? In other words, will that help the margin going forward?
Christa Davies - Chief Financial Officer & Executive Vice President: So as we think about the Absence Management business, it's a terrific business, helping businesses really manage their workforce overall. One of the things we would say about that business is given the high demand from corporations to manage their workforce and of the absence of their employees over time, it has significant – very high capital requirement to invest in this business over the coming years. And as we look at our strategy, it's not as core to our strategy as some other areas in which we've been investing. And so as we think about the need to invest capital in this business over the coming years, we do believe that Guardian has a much higher priority in this area and they're going to substantially invest. And so we feel really good about partnering with them to continue to serve our clients in this area. We did not disclose the financials in this business, but you should think about this business as overall in line with our focus on improvement return on capital.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Okay. And then just detail on that. I think you mentioned maybe $12 million of transaction cost. Was that in the operating line or was that adjusted out?
Christa Davies - Chief Financial Officer & Executive Vice President: It is included in our HR Solutions operating income so it is in the operating line. So as we think about this business, there is obviously a gain that shows up in other income, which is quite significant. And then there are transaction costs and severance related to this showing up in the operating income of HR Solutions.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Okay. And was the revenue for the Absence Management, was that pulled out for the fourth quarter or was that in the fourth quarter?
Christa Davies - Chief Financial Officer & Executive Vice President: It was in the fourth quarter.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Okay. Then on the – staying with the solutions on the HR cloud business. Is that business growing materially faster than your overall business? And how's the pipeline of large clients looking for 2016?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah...
Gregory C. Case - President and Chief Executive Officer: This business has done exceptionally well. We love the position overall and it's growing well above double-digits. The fundamental capability we've got and the need clients have around HR transformation and improvement is just exceptional. And the capability we've got on the Workday front in particular is really, really carving out a lot of space there for us. And we're seeing the growth, not only in the HR side, but we're also seeing it as clients think about beyond HR transformation, how it relates to finance transformation. And this combination has just been incredibly positive. By the way, Aon itself has going to do the same thing. We adopted Workday on the HR side. We've now adopted Workday and are implemented on the finance side. And we see the potential, and our clients see it as well. So for us, this has been a very, very strong growth business. We really like the capabilities here and the prospects on behalf of our clients.
Quentin McMillan - Keefe, Bruyette & Woods, Inc.: Thanks. And just one more. In the risk business, how much are exposures helping more now than a couple of quarters ago?
Gregory C. Case - President and Chief Executive Officer: Exposures continue to be helpful. And by the way, it is the right question because in the end, a lot's discussed on price. It really is an issue of exposures as much as price. And again, we can clinically look at this with the Risk Insight Platform across our entire book at a very micro level. When you add all that together, price and exposures, they're net-net stable. So, the market roughly is stable. So, a little up, a little down but roughly it's been stable. And I'm really looking at the chart right now across multiple quarters and it's, give or take, stable. The prices have come down a little bit, exposures have come up and we – just how the market overall has performed. From our standpoint, that's right, we don't really look at market conditions as an excuse not to grow or reinforcement to grow. We're going to grow either way, we have proven we can do that. 2015 is another example of that. We'll see it in 2016. And we've more than offset price changes and exposure changes with net new business and net new capabilities we brought to the marketplace, as well as our ability to retain our existing book of business and actually add services on to that. So, for us, overall, it's been market stable. And our ability to deal with it has been quite positive.
Adam Klauber - William Blair & Co. LLC: Okay. Thanks a lot.
Operator: Thank you. The next question that we do have comes from the line of Kai Pan of Morgan Stanley. Your line is open.
Kai Pan - Morgan Stanley & Co. LLC: Thank you so much. Good morning. First question is on the HR Solutions. And in the past, you have been guiding like year-over-year improvements in terms of underlying margin, as well as operating income; it grows from mid to high single digits. I just wonder is that still valid going forward?
Christa Davies - Chief Financial Officer & Executive Vice President: Hi. We fully expect to grow revenue organically, to continue to expand margins and to grow operating income in HR Solutions as we have in 2015.
Kai Pan - Morgan Stanley & Co. LLC: Okay. That's great. And then just a number of question on the free cash flow target $2.4 billion looks like 2015 the reclassification as you benefit about more than $200 million. So, the raise of your guidance, the $100 million, I just wonder what's the calculation behind it?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. I think one of these things that shares with help from taxes is really driven. The amount is the result of employee choice and the market value of the stock, two variables of which we have no control. So, as we think about it, we think that we have very strong free cash flow growth over the next coming years, and therefore, $2.4 billion is the right number. And this particular element we took out really has no impact on cash. And so we think that, therefore, $2.4 billion is the right goal going forward.
Kai Pan - Morgan Stanley & Co. LLC: So there's no change in the underlying forecast for your free cash flow target?
Christa Davies - Chief Financial Officer & Executive Vice President: No.
Kai Pan - Morgan Stanley & Co. LLC: Okay. That's great. And lastly, Greg, if you could talk about on the acquisition front because the buybacks have been very meaningful return to shareholders. I just wonder like in this marketplace, where do you see the platform capability you could help grow like in the future and how do you balance between acquisitions versus shared buybacks?
Gregory C. Case - President and Chief Executive Officer: Yeah, Kai. We actually look at both, and if you look at our history over the last 10 years, we've actually been a little more leaning towards acquisitions when you look at some of the amount of our overall investments versus what the buyback has been over time. And underlying that, if you look back over the last 10 years, our operating income growth year-over-year has been roughly 11%. So, it's something we've really invested in. And invested heavily in organic improvement as well, as I've described before. The level of capabilities that we're investing in for existing clients, new clients and on the data and analytics side is we believe candidly quite unprecedented. If you think about data and analytics, Global Risk Insight Platform to ReView to the Aon Client Treaty now at the endpoint, all the work we've done and delegated exchanges, you get the picture. So, we're very, very much focused on investment back into the business. And M&A plays a big role on that, and will continue to play a big role on that. And we probably – I'm looking at Christa – we'll probably look at more deals this year, situations this year that may be any time at our history measured in the billions. Done fewer of them, because we're always going to be disciplined around return on investment capital. Christa has in place a very, very structured way to think about how we can very meticulously invest our capital to get to the highest return on capital, generate free cash flow and build wealth for our shareholders. And in the context of that, serve clients in a very, very effective way. And that's really the machine we've set up. That's how the engine runs and that's what we've done. So, we're going to continue to look at where the best places to place our capital. And we'll be open to acquisitions as we are, organic investment, buyback, and all of the above. That's really how we're looking at it.
Kai Pan - Morgan Stanley & Co. LLC: Okay. Specifically, kind of a follow-up, if there's a price like discussion about wholesale platform. I'm wondering, if that's something would be of your interest?
Gregory C. Case - President and Chief Executive Officer: Again we're not going to comment on specific situations or categories. But you can imagine, we're going to do what we need to do to actually support our clients and deliver distinctive value to our clients and do it in a way, again, that returns benefits to our shareholders. So, we're going to look at capabilities across the board. We've partnered with great capability on the wholesale side. We're going to continue to do that and always look at options.
Kai Pan - Morgan Stanley & Co. LLC: That's great. Well, thank you so much, and good luck.
Gregory C. Case - President and Chief Executive Officer: All right.
Operator: Thank you. The next question that we do have comes from the line of Vinay Misquith of Sterne Agee CRT. Your line is open.
Vinay Misquith - Sterne Agee CRT: Hi. Good morning. So the first question is on the HR Solutions. Margins grew by 100 basis points this year, while organic revenue growth was actually lower this year, that's 2015 versus 2014. Curious how you've managed to expand margins even though the organic revenues were lower this year versus last year.
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. It's a great question, and I think it's really about the investments we've made, Vinay, and the areas of growth that we've outlined: delegated investment management, HR BPO and our cloud solutions, and healthcare exchanges. And they are generating great returns on investments, which is how we're able to continue to expand margins and grow operating income at lower levels of organic growth. And so, we will continue to manage the portfolio on a return-on-capital basis. And generating improved cash flow from the investments we've made organically and inorganically in our business.
Gregory C. Case - President and Chief Executive Officer: Vinay, really what's been highlighted here is the idea of operational leverage. And a lot of the core organic investments we make in the areas Christa described, same is true, by the way, on the Risk Solutions side, is the reason, again, back to we're very confident, comfortable talking about margin expansion in lower growth environments. By the way, don't take away from that that we're not interested in growing organically. We're absolutely focused on that and that is a high priority, and we'll continue to do that. But our ability to actually produce results in a variety of environments is really a function of our ability to invest heavily back in the business from an organic standpoint.
Vinay Misquith - Sterne Agee CRT: So that's helpful. And now within the segment, I believe there were $12 million of costs. So should we sort of add back those $12 million to say that that's the normalized operating income for the segment for this year?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah, I think that's probably right.
Vinay Misquith - Sterne Agee CRT: Okay. Great. And then one last question, just on the free cash flow and maybe my math is not that great, but my understanding is that the reclassification helped the free cash flow by about $200 million. And the future guidance for free cash flow has increased only by $100 million. So, have the underlying cash flows for the future sort of come down by $100 million?
Christa Davies - Chief Financial Officer & Executive Vice President: No, they have not. So, one of the things that I tried and obviously failed to communicate earlier was this number varies substantially by year. And the amount is a result of employee's choice, growth in net shares and the market value of our stock. Therefore, we have no control over the number. As we think about our free cash flow going forward, there is no change to our view on the underlying free cash flow growth of the firm. We do believe that this amount going forward is somewhere between $0 and $100 million, therefore, we've increased our target by $100 million to $2.4 billion. One of the other things I would make clear is that the $2.4 billion in free cash flow in 2017 is fully deployable cash, because if you look at the $1.7 billion we generated in 2015, we actually returned $1.9 billion of cash to shareholders in 2015. So, we are generating a huge amount of cash, which we can fully deploy on either return to shareholders or, as Greg said, investing back into our business either organically or inorganically in the form of M&A. So we're very excited about the future growth potential of the firm given the huge cash flow generation we're going to produce.
Vinay Misquith - Sterne Agee CRT: Okay. Thank you.
Operator: Thank you. The next question we do have comes from the line of Charles Sebaski of BMO Capital Markets. Your line is open.
Charles Joseph Sebaski - BMO Capital Markets (United States): Good morning and thank you. I guess, the first question, Christa, a follow-up to the free cash flow question going forward. With regard to the working capital improvement, I guess, I was just hoping you can just help me understand a little bit how that is truly incremental as opposed to timing. I guess, if I think you pull in your accounts receivable and push out payables is a timing issue, but is there something else in that that's truly incremental to free cash flow?
Christa Davies - Chief Financial Officer & Executive Vice President: Yeah. Well, the one other thing that I would say is that we are on a sort of march now to really improve our flow-through of every $1 of revenue through to $1 of free cash flow. And I would say we're on a 10-year journey to get there. I think the overall industry in which we operate has not been particularly focused on free cash flow, and I think it has been a journey for us, which we've been on really for the last, you know, almost five years. And I think as we continue to improve the collection of cash from customers and we continue to manage the payment of cash to suppliers, we believe that we have improvements in cash for at least the next five years to eight years in terms of working capital. And it's structural improvements in the process around which we do this, in the way in which we manage this, in the overall portfolio of business we do. So, I guess, what I would say as you think about Aon, we believe we should be working capital neutral overall and we are far from that today. So, we believe the upside in terms of cash from working capital is substantial over the coming years.
Charles Joseph Sebaski - BMO Capital Markets (United States): I guess, and obviously you guys are a different business or like in a different business, but I guess in some other industries if you pull in your receivables faster, an incremental improvement might be of less charge-offs, right? You have less credit events; that there's something is truly is incrementally increasing as opposed to just the time value of money by getting that cash flow today versus 90 days from now. I guess I'm wondering, is there structural elements in that improvement for you or is it timing related?
Christa Davies - Chief Financial Officer & Executive Vice President: It's absolutely structural. If you think about today, we are tying up a huge amount of cash, essentially, by not collecting the cash from customers early enough, or by paying suppliers. And so, as we think about return on capital of Aon, we are managing our overall portfolio to improve cash in this area. And we would say, we are making structural process improvements, and have for the last couple of years. You can see it if you look at receivables divided by revenue you can see days sales outstanding improve over time. And the same on the supplier side. And so, whether we're improving invoice velocity or eliminating prepaid expenses, there are a number of structural things we're doing to improve the flow-through of $1 revenue to $1of free cash flow.
Charles Joseph Sebaski - BMO Capital Markets (United States): Okay. I appreciate that. I guess, finally just on the risk business and the investments you guys have made in the data and analytics. I think now we more clearly see on the reinsurance side or maybe the GRIP program with the insurance carriers. I was hoping you might be able to just expound a little bit on where maybe some of these data and analytic investments are helping you improve the retail. I don't know if you need to charge for it at the retail level or if it flows through in organic growth. And that piece of it, if you think of kind of the multitude pieces in the risk business, the real core retail side and where the data and analytics is helping the business there.
Gregory C. Case - President and Chief Executive Officer: So the effort on data and analytics has really been multi-year and ongoing. And for us, we believe it's going to be fundamental to what we needed to try to get it accomplished over time, Charles. It really is going to be differentiated in terms of our capability versus the marketplace. And there are many examples. By the way, the risk insight platform efforts really are actually, the work is done directly with the primary insurers serving clients. So it actually touches very much the primary insurance marketplace. But let me give you one example that – I happened to be just in London yesterday with Lloyd's and Lloyd's syndicates. We just launched something called Aon Client Treaty, which is a very – it's basically built on a foundation around data and analytics. So in essence, it will be, when done, the single biggest underlying transaction likely in the history of Lloyd's to-date and it really takes our book that goes into the London market to our global broking center and we actually modeled that book in detail, really bottom up, all different aspects of what's going on. 64,000 policy transactions, 120 different classes of business, 157 countries. You get the idea. We built an incredible data room in which underwriters will come in and actually take a company-level understanding at underwriting and then apply it to portfolio level. And in essence, what we're saying to our client, by the way, on Monday happening at our Property Symposium, I'm talking to clients in our Property Symposium and essentially saying if you're going to use London capacity, you've eliminated your tail risks. So when you actually think about the set of syndicates that are actually going to come to bear on behalf of you, the last three, four, or five actually create risk. We've eliminated that. So we've actually pre-confirmed 20% of that capacity that will follow a lead capacity going into London. That makes that capital we're bringing to bear much, much more competitive. So there's an example of hard clear data and analytics but essentially we've analyzed our book sort of, it happens to be in the London marketplace, but imagine, we can look at this all over the world in which we're actually providing distinctive value, unduplicated value to clients using data and analytics. So, that was a little bit longwinded, but I hope you get the idea that it's a very powerful tool. By the way, in order to do that, you had to be able to analyze all 6,000 clients going into London in a way that, frankly, leverages off our risk insight platform. Never been done before.
Charles Joseph Sebaski - BMO Capital Markets (United States): Thank you very much for the answers.
Operator: Thank you. I would like to turn the call back over to Mr. Greg Case for the closing remarks.
Gregory C. Case - President and Chief Executive Officer: Excellent. Well, let me apologize again for the logistics during the Q&A. If anything comes up and you want to ask us, please feel free. We're available at any time. And just appreciate everybody for being on the call today. And look forward to catching up at the end of the first quarter. Thanks very much.
Operator: That concludes this conference. Thank you for participating. You may now disconnect.